Marcos López: Good morning, ladies and gentlemen. Welcome to the presentation of Inditex’s results for 2021. I am Marcos López, Capital Markets Director. Here today with us are Inditex’s Executive Chairman, Pablo Isla; our CEO, Oscar Garcia Maceiras; and our CFO, Ignacio Fernández. As usual, the presentation will be followed by a Q&A session, starting with the questions received on the telephone, and then those received through the webcast platform. Before we start, we will take the disclaimer as read. I’ll now hand you over to Pablo.
Pablo Isla: Thank you, Marcos. Good morning to all of you, and welcome to our 2021 results presentation. My first words are for those affected by the conflict in Ukraine. Our sympathy and thoughts are with the people there and our teams on the ground. I would like to highlight some key messages about the year 2021 before we go into an analysis of the period. I want to recognize the effort made by each and every individual at Inditex across all the different functions, concepts and countries. Their dedication has been outstanding during these challenging times. We can only present results of this quality today due to their commitment, their capacity to adapt to changing conditions and their entrepreneurial spirit. It is due to our teams that Inditex’s differentiation and strategic transformation towards a fully integrated digital and sustainable business model is accelerating. Let me tell you that we have total confidence in our unique business model that fully integrates the store and online. Our operating performance in 2021 has been very strong. Our collections have been very well received by customers. The store sales are getting back to normal. The store optimization plan is in its final stages and has been a resounding success. Online sales continued to see growth. We generated strong cash flow and that reinforced the robust financial position of the group. We continue to see very strong growth opportunities. And we continue with our predictable and attractive shareholder remuneration policy. For 2021, the Board is proposing a dividend of €0.93 per share, which represents an increase of 33%. The Board is also proposing a bonus dividend of €0.40 per share for 2022, 33% higher than in 2021. The outstanding performance in 2021 was greatly helped by our fully integrated business model, our single inventory position and the attractiveness of the product offer, but it was still affected by COVID-19. Let me cover sign of the headline numbers. In constant currency, our sales in 2021 were 3% higher than the pre-COVID 2019 historic highs. The strong trajectory of online sales that we saw last year continued into 2022. Online sales grew 14% compared to 2020 to €7.5 billion and are now 25.5% of group sales. The execution of the business model in the year has been strong. In 2021, Inditex achieved the highest gross margin in 6 years. Net income reached €3.2 billion, up 193% versus 2020. It is especially remarkable that cash flows reached historic highs. Free cash flow continued to accelerate. Net cash was €9.4 billion at year-end. Online sales in constant currencies have progressed very nicely indeed at plus 14% in 2021. This compares to plus 113% versus 2019. They have reached €7.5 billion since last year accounted for €1.2 billion of sales. Online visits, app users and social media followers continue to grow strongly and provide a solid base for future growth. As a result, online sales accounted for 25.5% of group sales in 2021. I will hand you over to Ignacio now for the details of the financial section.
Ignacio Fernández: Thank you, Pablo. As you have seen in our release, Inditex operations progressed strongly in 2021  turn out to be a very challenging operating environment. The table shows the headline numbers. We manage the business model very tightly and this resulted in a strong gross margin performance. Operating expenses has, of course, been tightly managed. The result is a very strong cash flow generation. Sales trends in 2021 have continued to improve as the store sales return to normal and online has sustained a good performance. The deal has seen a strong recovery in sales of 36% over 2020. Store optimization program has been a resounding success. The impact of the store absorption program announced in June 2020 has been fully recovered in store and online already. Sales in constant currency grew by 37%, accelerating over the second half versus both 2020 and 2019. Let me add some detail on the performance in 2021, defined by a progressive normalization of sales. In the first quarter of 2021, with 24% of the trading hours is still unavailable due to restrictions, our sales performance improved markedly due to the healthy store sales productivity and online sales growth. Integration and feasibility of our business model was key to this. With a more normalized trading environment in the second and the third quarters of 2021, sales, PBT and net income reached historic highs. It is especially remarkable that the store service in the third quarter increased compared to the record levels of 2019 with 11% less stores in operation, proving that the store optimization program has been a resounding success. That performance persisted at the beginning of the fourth quarter 2021. However, the final part of the year was impacted significantly by the spread of the Omicron variant over the Christmas period. With the decreases in the cases of the Omicron variant and the end of the restrictions, the start of the spring 2022 returning to the previous positive patterns. Store and online sales in constant currency from the 1st of February to the 15th of March were 33% above 2021 and 21% above the historic recovery highs of 2019. In this period, sales in the Russian Federation and Ukraine represented approximately 5 percentage points of sales growth. As mentioned, the final part of the year was impacted significantly by the decrease in-store traffic due to the spread of the Omicron variant and restriction in most markets, and lockdowns in Austria and Netherlands, Germany, Japan, China and the Philippines. The total one-off impact of this on our results was approximately €400 million. The impact of the gross profit due to the increased markdowns as a result of the outbreak was approximately €210 million. The impact on operating expenses in the fourth quarter 2021 due to incremental store expenses associated with the Christmas season and additional costs linked to increased online sales was approximately €190 million. With Omicron abating in 2022, sales have returned to the previous positive patterns. Sales performance by geographic area in 2021 reflects currency fluctuation and the timing of the temporary store closures and restrictions. In 2021, the United States became the largest single market for Inditex after Spain. The gross margin reached 57.1%. It was 123 basis points higher than in the same period in 2020. The gross margin evolution over the period is strongly linked to the high levels of flexibility enjoyed by our unique supply chain. In 2021, Inditex reached its highest gross margin in 6 years. Based on current information, Inditex expects a stable gross margin plus/minus 50 basis points for the full year 2022. There has been very efficient management of operating expenses across all departments and business areas. This has demonstrated to our ability to react and adapt to the changing trading environment. Operating expenses grew well below sales. The main components of operating expenses have shown a very good performance. Efficiency gains have allowed us to  a high level of control over operating expenses over the period. Depreciation, amortization came to €2.9 billion, 5% lower. The difference reflects the provision for the store optimization program for 2020 and 2021, charged to the first quarter 2020 accounts. The flexibility of the business model we run can be clearly seen in the evolution of working capital over this period. As you can see in this table, working capital has returned to the normal level seen prior to the pandemic. Closing inventory is of high quality. Inventory at the end of 2020 was unusually low due to the COVID-19. Inditex has decided to accelerate inventory flows for the beginning of the spring season with alternate commitment levels in order to increase product availability in the face of the possible supply chain tensions. We feel comfortable with inventory levels. The high quality of inventory is reflected in the strong first quarter 2022 trading update. This assumes in conjunction with the strong cash flow to the net cash position to €9.4 billion. With all of this, you can see funds from operation after fixed lease cash payments was €4.9 billion, and cash from operation was €5.1 billion. We are already above 2019 levels recorded. And now, over to Marcos.
Marcos López: Thank you. Over 2021, we have continued expanding our operations. This can be seen in the 40 different markets in which we have opened stores over the period. The weight of the different concepts on group sales remains practically unchanged. We are seeing a progressive recovery across all concepts. The differences relate to the geographic presence, the location of stores and the fashion profile of each individual concept. It is remarkable that all concepts had profit before tax as a percentage of sales, exceeding 15% in 2021 despite the impact of COVID. It is the business model that underpins this strong performance. Store sales are improving and online sales continue to grow. Stradivarius, Pull&Bear and Oysho generated a particularly strong performance in 2021. And now, over to Oscar.
Oscar Garcia Maceiras: Thank you, Marcos. Inditex has always tried to take the lead when it comes to sustainability. You can see this in how we have successfully achieved all of the key targets we have set for this year, well ahead of schedule and in some cases, even exceeding some of these demanding milestones. Having approved the following targets at the AGM in July of last year, we are pleased to inform you that with regards to the target of exceeding 50% of products as part of Join Life by 2022, we were comfortably on track for delivery at the end of 2021. Likewise, the target of 100% use of renewable energy in our own facilities by 2022 is now very achievable. By the end of 2021 that figure stood at 91%. We can also say now with confidence that 42% of the fibers used to make our products are more sustainable. Inditex continues to make good progress in its sustainable development. We can see a few of the important objectives to be met by 2023 highlight here. 100% sustainable cellulosic fibers; 100% free of single-use plastic; 100% of all packaging materials collected for reuse or recycling in our supply chain, Green to pack; 100% use of more sustainable cotton. We are also on track to achieve two key objectives set for 2025. These are 100% sustainable or recycled linen and polyester, and a cut in water usage in the supply chain of 25%. In our drive to promote innovation in the field of sustainability, we have established the Sustainability Innovation Hub as a means by which to drive new technologies and scale up existing ones. We are now working with more than 145 start-up companies in order to make this a reality and have 30 pilot projects up and running already. Lanzatech for Zara was the first pilot project launched. This specialized in generating polyester fibers derived from the capture of carbon. Confirming our efforts in sustainability, it’s certainly worth highlighting that we feature consistently as a top-rated company in the Dow Jones Sustainability Index and the FTSE4Good Index. This has been the case for many years. Furthermore, Inditex is very proud to be able to say that it is only 1 of the 2 fashion retailers that are included in the prestigious Corporate Knights’ top 100 most sustainable global companies as well as being the only fashion retailer in the world to have the Terra Carta Seal. Let’s talk about the outlook for 2022 and in particular, about the features unique to Inditex. We can start with our fashion collections and the integrated store and online execution. A good place to start is with the Zara Embroidery collection, a limited capsule with highly detailed features. Also, our Zara Man spring bright tones collection, the Zara Kids Spring/Summer editorial, the Zara Home The art of living editorial. Massimo Dutti start over collection. Bershka abstract patterns capsule. Pull&Bear 19.91 Colours. Stradivarius hello old land editorial and Oysho’s outdoor training collection of technical fabrics. We continue to make our stores more differentiated than ever. As you can see in the refurbishment of the Zara store at Ginza in Tokyo, one of the districts with the strongest traffic in the world. With examples of new stores are Zara at Dubai Hills, which opened in February; Zara at Al Yas Mall in Abu Dhabi to open at the end of this month; and finally, I would like to highlight the opening in April of stores for Zara and Stradivarius in an 8,000 square meter location at Madrid’s Plaza de España, one of the largest urban renovation projects in Europe in recent years. We are also planning a new headquarters for Zara of 170,000 square meters. My message to you today is one of continuity of Inditex’s pursuit of its long-term goals. We enjoy a unique business model that fully integrates stores and online. This feature continues to be at the core of Inditex. Let me tell you that we remain at an early stage in the development of all of these exciting potential. The talent of our teams here at Inditex is only matched by the level of commitment. It will always be the case that these teams of people are our main competitive advantage. As a company, we have managed some difficult market conditions in recent times and the fact that we are already above prepandemic levels illustrated this well. Sustainability and digitalization also remain at the core of our strategy. For those who are long-term shareholders as well as our newer shareholders, I would like to reiterate that our main priority is always to invest for the future profitable growth of the group. Furthermore, we will continue with a predictable and attractive dividend remuneration policy. Inditex continues its drive to roll out strategic initiatives in order to strengthen our global fully integrated store and online model. We plan to continue developing these key long-term priorities in order to maximize organic growth. The goal is to increase the differentiation of our business model so as to provide a unique customer experience. A key focus is on high-quality stores with the aim that they be fully integrated digital and . Don’t forget, we will achieve these objectives with sustainability very much a central part of the strategy. Stable gross margins has always been a key focus for us. We are applying mid-single-digit price increases to our Spring/Summer collections. This is not having a negative impact on volumes, as you can see from our trading update. As we continue to invest in the business, we expect to deliver higher returns and lower capital intensity going forward. We expect capital expenditure of €1.1 billion for 2022, which will drive differentiation, digitalization and sustainability. The strength of the fully integrated business model has been clear in recent times. As part of this, Inditex now expects online sales to exceed 30% of group sales by 2024. Inditex’s Board of Directors will propose to the AGM a dividend of €0.93 per share, 33% higher than in 2020. It’s composed of an ordinary dividend of €0.63 and a bonus dividend of €0.30 per share. The dividend will be made up of two equal payments. On the 2nd of May 2022, a payment of €0.465 per share, ordinary; on the 2nd of November of 2022, a payment of €0.465 per share composed of €0.165, ordinary, and 0.5 -- €0.30, bonus. Inditex’s dividend policy of 60% ordinary payout and bonus dividends remains in place. The Board of Directors is also proposing to the AGM a total bonus dividend of €0.40 per share to be paid in relation to the 2022 results. As you have seen in our release, we have had a very strong start to 2022. Store and online sales in constant currency from the 1st of February to the 13th of March were 33% above 2021 and 21% above historic pre-COVID highs of 2019. In this period, sales in the Russian Federation and Ukraine represented approximately 5 percentage points of sales growth. Thank you for attending. That concludes our presentation for today. We will be happy to answer any questions you may have.
Marcos López: Please, operator, go ahead.
Operator:  Our first question is from Adam Cochrane at Deutsche Bank. Unfortunately, we can’t hear anything from Adam’s line. So we’ll move to Thomas Chauvet from Citi. Unfortunately, we’re not getting anything from Thomas’ line either. So, we will move to Elena Mariani from Morgan Stanley. Elena, can you hear me? Your line is open. Please stand by whilst we confirm the question order. Thank you for your patience. Okay. Thank you for your patience. We will try again once more with Elena from Morgan Stanley.
Elena Mariani: Can you hear me now?
Operator: Yes, we can hear you.
Elena Mariani: Okay. Fantastic. So I’m going to start with my questions. The first one is on the moving parts on your gross margin guidance. So you have very kindly indicated that you expect gross margin to remain broadly stable in fiscal year ‘22. How should we think about these underlying moving parts, i.e., cost inflation, for sure, having an impact? You’ve quantified that the price mix effect, which is mid-single digit. Are you factoring in any return of markdowns given that 2021 has been particularly favorable in terms of like full price environment? So if you could help us understand a little bit better how you’re thinking about this guidance in the context the current market environment, that would be great. And then my second question is about Russia. So you have also kindly indicated about a mid-single-digit contribution from your Russian business and from memory, also an 8.5% impact on EBIT. But how should we think about these store closures and the impact on EBIT in fiscal year ‘22? Are you somehow offsetting this? Should we think about the impact to be below 8.5% on your EBIT margin? So if you can -- could help us understand how to think about the net-net effect of the store closures, assuming that their stores are going to remain closed for the full year?
Marcos López: The first question regarding the gross margin. I think we have given quite explicit guidance in the sense that we expect a broadly stable gross margin. You know that for us this means minus/plus 50 basis points to remark that the gross margin achieved last year was the highest in 6 years, despite the workforce has been quite, quite strong. And regarding the different moving parts, I think that we always try to work on very clear gross margin stability. But I think we can give you a number of key factors for the coming year. For us, being price stability, important for our customers. It is clear that in those markets where we have experienced significant currency depreciation, so there is a significant cost inflation, we always work to protect those margins. And this is why we are talking that this year and in a very selective way, we are going to do price increases of mid-single digit, right? This is not something that we will do across the board. It will be very, very focused on ranges, on type of product, and clearly, the idea is to preserve our position in the market. The second point I would like to make is regarding inventory. You -- we have a very, very healthy inventory position at this stage. The inventory is of high quality. Bear in mind that this is very much in line with the strong trading update that we have mentioned of 33% at the beginning of the year. And taking into account that the comparable last year was distorted by low -- abnormally low inventory levels due to the COVID-19 situation. So clearly, we are not seeing anything in particular there and let me add something. We have accelerated a little bit inventory flows just to try to avoid any possible tension in the supply chain. So we’re clearly well stocked with high quality for what’s coming. And as I mentioned, inventory growth is below the trading update of 33%. So we feel very, very comfortable. Regarding Russia, I think that you’ve practically explained everything within your comments, the comments you made. We have provided a lot of information regarding the market in terms of the EBIT in terms of the -- that Russia and Ukraine represent 5 percentage points of growth in this trading update. And at this stage, as you can imagine, our key focus, our teams there, how to support them, and well, clearly, our thoughts are with them, and we would prefer not to add anything to what we have said right now.
Operator: Our next question comes from Adam Cochrane from Deutsche Bank.
Adam Cochrane: Try this again. And in terms of the price increases, what’s giving you the confidence that you can pass through these price increases? And with your comments about market conditions, is that dependent upon the rest of the market passing through the price increases as well, as in you wouldn’t want your price position to change relative to other retailers? And then secondly, in terms of the special dividend. Last time around, you did a multiyear special dividend. In terms of just doing 1 year forward this time around. Is that a change in policy or is due to the current uncertainty and maybe you will get a multiyear one in the future?
Marcos López: Regarding the position as -- in terms of -- in the market, as you can imagine, this is something that we  very carefully. This policy we have implemented to having prices of mid-single-digit increase this year, you see is having no impact at all, our positioning and our volumes as clearly reflected by the trading update of 33% growth. So this is something, as I mentioned, is not across the board. It’s very well thought. It’s very, very by family, by section, by type of product. And you can see that the reception has been no material. And regarding the special dividend, I think Pablo would like to...
Pablo Isla: Yes, regarding the special dividend, what I would tell you is that the -- well, first of all, that what the Board has decided this year is instead of giving a global figure for a 3 years period without specifying what was going to be distributed, the Board has thought that it was better -- well, first of all, of course, to complete the extraordinary dividend -- the remaining part of the previous extraordinary dividend against 2021 year results. And then the Board has thought that it was better to be very precise about the extraordinary dividend for the year 2022. So giving you and the investors full visibility about what is going to be the extraordinary dividend for the year 2022. And at the same time, of course, reiterating the approach of 60% payout ratio plus extraordinary dividends. So it has been preferred to be very, very precise about the extraordinary for the year 2022.
Adam Cochrane: So on those price increases, you’re saying that you’ve already -- the mid-single digit has already been put through and that’s all you need to do for this year?
Pablo Isla: Well, we...
Adam Cochrane: No further price increases coming?
Marcos López: What I mentioned is that for this Spring/Summer season, we have -- we plan to implement -- we have already implemented this mid-single-digit increase. And there is no impact on sales volume as shown by the trading update of plus 33%.
Operator: The next question comes from Anne Critchlow from Societe Generale.
Anne Critchlow: It looks as if online sales declined in the fourth quarter despite a slightly easier comparative from the prior year for online sales. And it also looks as if the online slowdown was much worse than the total sales despite Omicron’s perhaps expected impact on physical store locations. Are there any explanations we should be aware of? For example, was it higher returns rates online because events were canceled?
Marcos López: I think 2 comments there. The first one is that the comp over the fourth quarter 2020, you can imagine, was tremendous, right? That’s the first reason. The second reason is that due to Omicron we mentioned in the notes, that given the sudden drop in store traffic, there was some incremental costs coming from online. We were pleased with that. But you have to bear in mind that 2 key factors for online offer were not possible in a number of markets, like click and collect or return to stores. This is why we quantified very clearly the additional costs we have in operating expenses. So nothing material there. We have provided guidance. We see online growing very strongly. Last year, it was 14% to €7.5 billion. We expect online to exceed 30% of sales by 2024. So everything, the fully integrated online and store model remains the same in a very, very healthy way. Then, remember that our online is unique in 2 factors. The margins we obtain online are very much the same that we are obtained in the stores. So clearly, it’s a fully integrated operation. And apart from this very strong growth, we have leading profitability. So we can scale this business in a very, very healthy way. .
Anne Critchlow: Could I ask if you have seen a strong acceleration in online sales growth in the current trading period, please?
Marcos López: We have seen a very normal evolution. Once that the Omicron has abated, we have seen the patterns in our operations go back to normal.
Operator: The next question comes from Rebecca McClellan from Santander.
Rebecca McClellan: A couple of questions, please. Firstly, can you give us any idea of what you’re seeing in terms of trends in the neighboring markets around Russia and Ukraine? And secondly, of the €190 million cost -- extra cost associated with the fourth quarter and Omicron, how much of that is incremental versus a cost mismatch versus sales as they sort of -- as a deceleration in traffic?
Marcos López: Yes. The first question is that in those markets, we see a very normal evolution right now, okay? And regarding your second question, I think we have provided a very detailed explanation regarding gross margin. The -- what we have mentioned is basically small markdowns. And secondly, regarding the operating expenses, what we have mentioned is that, obviously, we had a number, the usual reinforcement in the -- for the Christmas period in our stores, which could not be diluted because many -- we had restrictions, we had store closures and we had lower traffic. And then some incremental online expenses coming from this higher volume of online that we experienced over the fourth quarter plus the fact that click and collect and return to stores were not available in the  markets. This is a one-off effect that will be diluted immediately. And you see that the trading update has very clearly caught up with the previous strong rates of growth in sales that we had before this just temporary impact coming from Omicron.
Operator: Our next question comes from Paul Rossington at HSBC.
Paul Rossington: One question from me, please. In the context of the current trading, can you comment on whether there is a space contribution to that number or not? I know you said that you expect space to be neutral over the full year, but just wondering if there’s any impact on the current trading number?
Marcos López: As we mentioned, space contribution is going to be very neutral this year. We have practically finished the store optimization plan. So basically, you can assume that it’s fully comparable.
Operator: Our next question comes from Georgina Johanan from JP Morgan.
Georgina Johanan: I have a few questions, please, and apologies I dropped off briefly. So apologies if this has already been answered. The first was just really around Russia. Thanks for the information you’ve shared so far. Just to understand, should we expect some short-term loss coming from that region? I know you referenced in your original statement that you would be providing some support for staff. And I’m not sure if there is some ongoing rental payments that need to be made. That was my first question, please. The second one was just to help us around the modeling where you’ve guided for a broadly stable gross margin. Do we need to factor in any adjustment there for Russia, please? I know it’s higher profitability. I’m not sure how much of that comes through in gross margin versus OpEx. And then finally, on your outlook slide, I note that you referenced increased profitability going forward. And just wondered if you could clarify what the base for that was should we be thinking back to 2019 for COVID or 2021 the  a base for that comment?
Marcos López: Regarding the gross margin, any -- with the guidance we have provided, all the factors are included. Regarding any special add-on cost or OpEx coming from Russia, we would tell you is not material. Right now, as we mentioned in our notes, investments or investment in the country is relatively low. Inventory will be -- is not significant. So obviously, we will do whatever is needed to support our work force there, right? And as I mentioned, we prefer not to have anything on that market at this moment. But we clearly feel that there won’t be anything significant. Again, the gross margins are very, very healthy. You see, last year, we achieved the highest gross margin in 6 years, and this is reflected in the cash flow, very much in the funds from operations and in the cash from operations. You see that inventory management has been very, very healthy. And as I can mention, I would very much take you to the trading update, both on 2021 and 2019 as a base for comparison. This is why we have provided both numbers, which are very, very solid, and you can adjust just to model in the future. .
Operator: Our next question comes from Richard Chamberlain from RBC.
Richard Chamberlain: Couple of things from me, please. Please, can you give an update on China in the light of renewed Omicron restrictions there? What are you guys seeing in terms of sales? And any additional supply chain constraints? And then second, I wondered if you could comment on the depreciation charge for the year. Were there any one-off effects affecting that charge at the year-end, any impairments or capital gains or anything like that?
Marcos López: Regarding your second question, depreciation is affected by the comp in 2020. That’s very much the difference, right? Remember that includes -- well, you know what I’m referring to. So I’m not going to extend that. And in terms of markets, I would prefer not to talk about a short period of time. I think that clearly, we have provided a geographical distribution of sales. Clearly, in 2021, there is something that is remarkable is that the United States has become the second largest market for Inditex after Spain. But I think the trading update that we have provided encompasses very well the performance we’ve seen at the beginning of the season. And this is as far as we would like to go right now. .
Richard Chamberlain: Okay. Fine. I guess so if you talk about Asia overall, presumably that’s recovering though. Is it as reflected in the Q1 performance so far? .
Marcos López: What we have mentioned last year is that the weight of sales depends very much on the different restrictions on the different situations of the market, on using that there have been one-offs in a number of markets. But I think I would just draw your attention again to the strong trading update of the beginning of the season. This 33% on 2021. 21% on 2019, I think, is quite remarkable. And as you know, we’re always trying to focus on the long term. And I think that the cash flow situation that we enjoy the generation of funds that we achieved last year getting to a historical high, I think is extremely relevant, right? We -- as a retailer, you have to manage your business for cash flow, and this remains our priority. And given the strong trading update at the beginning of the season, I mean, this encourages very much how we face the year and we can tell you that. Well, this is very, very consistent per concepts and geographies.
Operator: Next question comes from James Grzinic from Jefferies.
James Grzinic: Quick one. Can you just perhaps clarify that, that current trading update doesn’t also reflect a later clearance of the Autumn/Winter ranges? Can you perhaps single out what Spring/Summer proper has done relative to that growth that you provided on current trading, please?
Marcos López: No, I would not read anything specific. This is a -- every year, there are differences in calendar, in a number of factors, but I wouldn’t read anything specific. The trading update of 33% is very, very strong. It’s 21% above the historic pre-COVID highs of 2019. There are always things. Clearly, we have made an effort to accelerate some inflows of product to be sure that there are no tensions in our supply chain. And all our proximity supply chain remains open as it has been the case forever. And this is the key differential factor for Inditex. So nothing material, James. No.
James Grzinic: Okay. So Marcos, just to confirm in your mind that is indicative of proper underlying Spring/Summer demand as you’re currently seeing it?
Marcos López: No. Basically, our approach is the same. We try to offer the customer what the customer wants. We’re not trying to anticipate anything. So to anticipate demand is not something that we do or we don’t do. We basically respond to the market with what the market needs. This is our proximity model. Our stock is -- our inventory position is very, very healthy and of high quality, and this is reflected in the trading update. So very, very strong and healthy start of the season.
Operator: I will now hand over for any questions via the webcast.
James O’Shaughnessy: We’ve had a number of questions on the webcast platform today. And the first of which is, could you please give some color on the 2021 cash flow performance?
Marcos López: Well, again, I think that both Pablo and Oscar stressed that is one of the factors is one with the budgets of this 2021 results. The cash flow situation, we have generated €4.5 billion cash from operations, given the strong management and the top management of working capital -- well, the working capital has provided an inflow as well. And we have achieved €5.1 billion in cash. And following some the investments we make to make our business stronger and more differentiated, free cash flow has reached €4 billion. I think this is a very, very significant way to see the health of the business in a difficult year with still COVID affecting a couple of the quarters, but you see that the cash flow of the company is in good health.
James O’Shaughnessy: The second question relates to space contribution. You guided for neutral space contribution. Can you talk a little bit more about how you see space going forward, please?
Marcos López: Yes, probably a number of comments there. The first one is that the store optimization program has been a resounding success, it’s something that is very, very clear. This year, we have achieved 3% constant currency sales growth with 13% less stores. So that proves that the strategic initiatives we have in place are working very, very well. It’s almost finished. So this year, obviously, there will be some refurbishments and absorptions, but we expect a neutral contribution to the business. And this will revert, in our opinion, in a very strong like-for-like performance as it has been the case over the previous years.
James O’Shaughnessy: The next question relates to constant currency sales. Your constant currency sales were up 3% versus 2019, despite 13% fewer stores and having to contend with the impact of COVID, especially in Q1 and Q4. Can you give some more color on this strong performance, please?
Oscar Garcia Maceiras: Well, given the implementation of key strategic initiatives since 2011, 2012, the conclusion of the retail optimization program, in conjunction with new projects, as you already know, since the rollout of the  and the Inditex open platform, I think that it’s reasonable to reach the conclusion that the competitive differentiation between us and the industry is as large as it has ever been? It is differentiation together with the strategic transformation we have gone through over the last 2 years and the execution of our business model that is driving the healthy sales growth.
James O’Shaughnessy: That concludes the webcast questions. Thank you.
Marcos López: Thank you very much. We are -- or we will remain open to see a few questions that you may have regarding these results. And I’ll hand over to Oscar for the closing of this call.
Oscar Garcia Maceiras: Thanks to all of you participating in this presentation. For any additional questions you may have, please contact our Capital Markets Department, and we will welcome you back in June for the first quarter ‘22 results. Thank you very much.